Operator: Good morning. My name is Emma and I will be your conference operator today. At this time, I would like to welcome everyone to the Encore Wire Corporation First Quarter 2023 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speaker’s remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Bret Eckert, you may begin your conference. 
Bret Eckert: Thanks Emma. Good morning and welcome to the Encore Wire Corporation Quarterly Conference Call. I'm Bret Eckert Executive Vice President and Chief Financial Officer of Encore Wire. With me this morning is Daniel Jones, President CEO and Chairman of the Board. In a minute, we will review Encore's financial results for the first quarter ended March 31, 2023. After the financial review, we will take any questions you may have. Before we review the financials, let me indicate that throughout this conference call, we may be making certain statements that might be considered to be forward-looking. In order to comply with certain securities legislation and instead of attempting to identify each particular statement as forward-looking, we advise you that all such statements involve certain risks and uncertainties that could cause actual results to differ materially from those discussed today. I refer each of you to the company's SEC reports and news releases for a more detailed discussion of these risks and uncertainties. Also reconciliations of non-GAAP financial measures discussed during this conference call to the most directly comparable financial measures presented in accordance with Generally Accepted Accounting Principles including EBITDA, which we believe to be useful supplemental information for investors are posted on our website. I'll now turn the call over to Daniel for some opening remarks. Daniel?
Daniel Jones: Good morning, everyone. Thank you for joining us on the call and for your interest in Encore Wire. We appreciate your continued investment, confidence and support. The strong results for the first quarter ended March 31, 2023 marked our eighth consecutive quarter of elevated margins. Stable demand in the quarter coupled with continued domestic and global uncertainties. And persistent tightness in the availability of copper drove metal prices higher in the first quarter, while other raw materials costs remained fairly flat. Our key suppliers continue to perform at a high level, which positioned us favorably to meet customer demand in a timely manner. By continuing to execute on our core values of providing unbeatable customer service and higher fill rates, ongoing margin abatement remained gradual in the first quarter of 2023. I continue to believe that our operational agility, speed-to-market and deep supplier relationships remain competitive advantages in our serving -- serving our customers' evolving needs. We remain committed to reinvesting in our business with current and planned projects focused on increasing capacity, efficiency and vertical integration across our campus. We also remain committed to shareholder capital return as evidenced by our significant share repurchases in the quarter. Copper unit volumes were flat in the first quarter of 2023 versus the first quarter of 2022. Copper spreads decreased 4.2% on a sequential quarter basis as compared to the fourth quarter ended December 31, 2022. We continue to believe Encore Wire remains well-positioned to capture market share in the current economic environment. As we address the near-term challenges, we remain focused on the long-term opportunities for our business including improving our position as a sustainable environmentally responsible company in our industry. We believe that our superior order fill rates and deep vertical integration continue to enhance our competitive position. As orders come in from electrical contractors, our distributors can continue to depend on us for quick deliveries coast-to-coast. I'll now turn the call over to Bret to cover the financial results. Bret?
Bret Eckert: Thank you, Daniel. Net sales for the first quarter ended March 31, 2023 were $660.5 million compared to $723.1 million for the first quarter of 2022. Copper unit volume was flat in the first quarter of 2023 versus the first quarter of 2022. The decrease in net sales was driven by a decrease in the average selling price in the first quarter of 2023, compared to the first quarter of 2022. Aluminum wire represented 14.6% of net sales in the first quarter of 2023. Gross profit percentage for the first quarter of 2023 was 31.1% compared to 33.7% in the first quarter of 2022. The average selling price of wire per copper pound sold decreased 11.8% in the first quarter of 2023 compared to the first quarter of 2022, while the average cost of copper pound purchased decreased 8.2%. This resulted in the gradual abatement of copper spreads in the quarter, primarily driven by a decrease in the average selling price noted above offset somewhat by increased aluminum spreads, which resulted in the decreased gross profit margin in the first quarter of 2023 compared to the first quarter of 2022. The increase in SG&A in the quarter was primarily due to an increase in Stock Appreciation Rights or SARs expense driven by the increase in our stock price at March 31, 2023 compared to December 31, 2022. We recorded $13.2 million in SARs expense in the first quarter 2023 compared to booking of $4.8 million SARs benefit in the first quarter of 2022 resulting in approximately an $18 million increase in expenses period-over-period. No SARs were granted subsequent to January of 2020 as this plan was replaced with a deferred cash plan. Net income for the first quarter of 2023 was $119.5 million versus $161.5 million in the first quarter of 2022. Fully diluted earnings per common share were $6.50 in the first quarter of 2023 versus $7.96 in the first quarter of 2022. We started off 2023 strong, while navigating stable demand, fluctuating more material costs and continued gradual margin abatement. We also faced headwinds in February and March with the banking prices domestically and globally. Our team rose above the challenges to deliver another strong quarter. Persistent tightness in the availability of certain raw materials, ongoing global uncertainties and the continued suppressed availability of skilled labor kept overall spreads elevated in the first quarter of 2023. As Daniel stated, this marks the eighth consecutive quarter of elevated margins and spreads. Our balance sheet remains very strong. We have no long-term debt. Our revolving line of credit remains untapped. We had $697.4 million in cash at the end of the quarter. During the first quarter, we repurchased 702,478 shares of our common stock for a total cash outlay of $127.1 million. Since the first quarter of 2020, we have repurchased 3,674,755 shares of our common stock at an average price of $119.38 for a total cash outlay of $438.7 million. We also declared a $0.02 cash dividend during the quarter. In addition in February of 2023, the Board of Directors extended the repurchase authorization for up to two million shares of our common stock through March 31, 2024 with 1,129,7522 shares remaining forward repurchase under that authorization. The incremental investments announced in July of 2021 continue in earnest focused on broadening our position as a low-cost manufacturer in the sector and increasing manufacturing capacity to drive growth. In 2022, we began construction on a new state-of-the-art cross-linked polyethylene or XLPE compounding facility to deepen vertical integration related to wire and cable installation. XLPE insulation is used in many applications including data centers, oil and gas, transit, wastewater treatment facilities, utilities and wind and solar applications. We anticipate the new facility will be substantially completed by the end of the third quarter of 2023. Capital spending in 2023 through 2025 will further expand vertical integration in our manufacturing processes to reduce costs as well as modernize select wire manufacturing facilities to increase capacity and efficiency and improve our position as a sustainable and environmentally responsible company. Total capital expenditures were $148.4 million in 2022 and $31.8 million in the first quarter of 2023. We expect total capital expenditures to range from $160 million to $180 million in 2023, $150 million to $170 million in 2024 and $80 million to $100 million in 2025. We expect to continue to fund these investments with existing cash reserves and operating cash flows. I will now turn the floor over to Daniel for a few final remarks.
Daniel Jones: Thank you, Bret. Our strong start in the first quarter positions us well for 2023. The consistent success further attests to the strength of our one-campus vertically integrated low-cost business model, which continues to thrive under current market conditions. I believe our single-site business model provides us with efficiency and scale advantages compared to the multi-location operational models standard in our sector. This remains a competitive advantage giving us unmatched operational agility and speed to market and serving our customers' evolving needs. Despite persistent tightness and availability of certain raw materials, our supplier partners continue to deliver on the commitments to Encore. We wouldn't have this level of success without the consistent exceptional performance of our long-term suppliers. The labor market also remains tight and a limiting constraint for many companies. Operationally, we continue to grow through investments that enhanced our service model, increased capacity, reduced cost and focused on the health and wellness of our employees. Looking ahead we remain solely committed to execute upon the core values of the company, unbeatable customer service, nimble operations and quick deliveries coast to coast. I remain confident in the strength of the Encore team in place as we stand ready to navigate any challenges in our path. I want to close by thanking our employees for their hard work and commitment to safety, quality and excellence. Our continued success would not happen without their outstanding contributions. Our strong financial results have allowed us the opportunity to incrementally invest in our team as we position Encore as an employer of choice in the sector. I also want to thank our shareholders for their continued support. And Emma, we'll now take questions from our listeners.
Operator: Thank you. [Operator Instructions] Your first question comes from the line of Julio Romero with Sidoti & Company. Your line is now open. 
Julio Romero: Thanks. Hey. Good morning, Bret. Good morning, Daniel.
Daniel Jones: Hey, Julio.
Bret Eckert: Good morning.
Julio Romero: Hey. To start off on the copper volumes realized in the quarter flat year-over-year, if you could maybe speak to what tempered volumes there? Bret, I think you called out in the prepared remarks some headwinds with the banking crisis in February and March. If you can elaborate on that impact at all, and has that impact continued into the second quarter?
Bret Eckert: Well, as you know Julio, we're not going to really touch on anything post March 31. We definitely saw like everyone in the country saw and even globally, there was a lot of uncertainty as you got into February and into March with what was going on with the banks what was going to happen with interest rates. That always leans in on the commodity right? Is the dollar stronger? Is the dollar weaker? You've got to play with regard to that. So you saw some fluctuation in those copper prices. Even though availability is still very, very, very tight and the shape of copper is never been more critical. And so that had a little bit of headwind that we experienced. We also saw, which -- what happens during those times is distributors tend to take a look at their inventory and take their inventory levels down a little bit, because they see a lot of fluctuation in the copper balance. They want to get a little bit leaner. So we did see distributor inventories come down 15 to 20 days. That's actually a good thing in my mind. You're coming into the second quarter. They have a lot leaner inventories, which plays very well into our immediate order, immediate ship business model. And so I like that position as you head into the second quarter. 
Julio Romero: Got it. I appreciate the detail there. So I guess fair to say you've got available capacity to generate volumes above the first quarter run rate?
Bret Eckert: Absolutely. I mean we've been adding capacity, but you're always going to take a look at really balancing volume and margin. You're looking to optimize your capacity and utilization. You've got to continue to focus on customer service and profitability and margin is important in that process. And so those decisions are made on an order-by-order basis.
Julio Romero: Got it. And then maybe to turn to SG&A, I know you called out in the press release the impact of the $13 million of stock appreciation rights. Maybe talk about how you expect SG&A to trend for the remainder of the year?
Bret Eckert: I think it's been tracking. I think last year is probably a good indication. There's -- everyone had some wage inflation. And we'll see a little bit of that coming into it from last year to this year, but some of that you saw even in last year's numbers. The SARs expense is just something we can't control. It's why we went away from them. The stock price went from $137 at the end of December to $185 and change at the end of March. And so that, delta is what you pick up and revalue every single quarter. And so you'll potentially get some of that back going into next quarter depending on how things settle out. So that's going to ebb and flow. But the standard cost the commission's freight's been looking better the availability of freight is better. So I think all in you're going to see -- I think last year was a pretty good representative number.
Julio Romero: Really helpful, I'll pass it on and circle back with any follow-ups.
Bret Eckert: Thanks Julio.
Julio Romero: Thank you.
Operator: Your next question comes from the line of Brent Thielman from D.A. Davidson. Your line is now open.
Brent Thielman: Hi. Thanks. Good morning. Maybe just picking up on Julio's question about, just the volume Daniel, I'd love to hear to what you're hearing from the customers. And overall do you still feel like you're in a demand environment that supports the capacity investments that you've been making and still making?
Daniel Jones: Well, there's, still areas that are -- the frequency of quotes is still pretty good specifically to the industrial side. The commercial market is still going along good. The residential piece that we talked about a couple of quarters back saw the biggest hit, if you will. But again, the volatility in the quarter that had to do with Comex prices fluctuating as much as $0.55 or $0.60 during the quarter, some of the projects that are being discussed about may get pushed out a week, out a month, out a quarter whatever it might be. Those things happen. We certainly are not gearing our capacity up for one specific quarter. The capacity that we have geared toward that service model where we feel -- where we know our strength is, is what we're after. We do have an opportunity to catch-up on some items which is fantastic for the service which is what we're after when we started adding the capacity piece. But again that volatility in the quarter of Comex coupled with the geopolitical forces you've got the bank issue that was not really giving folks a lot of confidence that lasted about a week or 10 days. There was a pause there that you could see and feel. But as far as where the volume ended versus the comp last year's first quarter, pretty happy with the numbers. And I'm pretty bullish going forward on what's happening in that industrial and commercial. Each one of those segments is doing real well. There are pockets that are still pretty hot versus other geographical spots. But for the most part the industrial and the commercial both are moving along at about the pace that we thought would happen.
Brent Thielman: And would you call your customer or I guess distributor inventory levels into the second quarter sort of unusually low especially considering this is when the construction season ramps up?
Bret Eckert: When you see the movement in copper like, you have and the uncertainty with interest rates they may be on the leaner side going into the second quarter Julio [ph]. They're definitely towards that side of it. You typically start to see a build as you get into the summer months so they can be responsive to that demand. But they -- it's not unusual to come in a little bit lean like this particularly when you got the volatility in copper and you've got a partner that you know that can deliver right? So it takes it off their balance sheet.
Brent Thielman: And the inventory balance Bret was quite a bit higher than last quarter and especially last year and your mark raw material costs presumably are down. Can we infer that you're sitting on any larger sort of balance the finished goods that just didn't go in Q1 that ultimately should in the second quarter?
Bret Eckert: Well, no. I mean if you look at this, we've been -- since we opened a service center in May of 2021, we've talked about needing to build inventory levels, right? The key to this business is the shape of the inventory as well, right, having a little bit more raw in this market when copper is as tight as it is and the shape is as challenged as it is gives us more flexibility and we've got the balance sheet to sustain it. Having more width is super important to get closer to the end shape, right? I can make it any color, I can cable it, I can -- you just tell me what you want, right? And so we do lean in to get a little bit more speed in customer service with regard to that. And then there was a continued commitment to build finished goods. And all in for the quarter copper was up even though the other raw materials were fairly flat. And so all that's what you see in the balance sheet of inventory.
Brent Thielman: Okay. And then it looks like aluminum spreads were I mean still favorable, but overall aluminum revenue was down from the fourth quarter, I guess on an absolute basis same as a percentage of total revenue. Sort of a two parts question. Did that have a big impact on the gross margin comparison to Q4? Because I think aluminum has benefited your margins from the past few quarters. And then just the second part of that would be was aluminum also caught up in some of that distributor sort of destocking that you talked about?
Bret Eckert: I think it goes both ways. Aluminum is a little bit more subject to imports. And so with some of the international markets, particularly China opening up last year, right you did see an increase of some imports to catch up and that tends to impact aluminum more than it does copper. Aluminum spreads were up compared to the first quarter of last year. I've always talked about copper spreads likely peaking in like the June of 2021, right although being very gradual. I'd probably tell you, I would have saw aluminum spreads may be peak in the fourth quarter last year. But they're still very strong and they're still accretive to overall results.
Brent Thielman: Okay. Maybe one more and I'll get back in queue. Daniel and Bret, I understand you don't give guidance. Maybe could you just help us understand what would prevent you from seeing expanding margins into the second quarter from the first quarter? Because you had some pretty big factors this quarter including lower spreads kind of flat volume where you weren't getting the operating leverage margin wasn't that much lower year-on-year. So I'm just trying to think about those factors as we move into the second quarter and what's going to be the governor on margin expansion.
Bret Eckert: Well, I mean as you know we've talked about margin abatement right for two plus years now, right? And so the key is managing that at a gradual level. And if you look at the last couple of years' margins, you could probably throw a bell curve on it, right? It always starts a little bit lower in the first, comes up a little bit in the second and third and comes back down. The market conditions are going to dictate it the ability of our peers to be able to deliver finished goods in a timely manner is going to impact it, how tight the metal continues to be and how significant that tightness in the shape is. You know what I mean by that is rod. There's only one other competitor that has their own rod mill. And so if you can't get the rod you need domestically and you have to look internationally, you're going to countries all over the world to buy. You name it, right? That's a long way to go to get rod and so that can be a limiting factor. All that's going to come into play. Copper today -- now estimates will tell you China could be up to 60% of the world's copper consumption. As they start to get more bullish and get moving this year that's going to draw on the metal that you've got less than 3.5 days above ground. So all those factors come into play as you look to convert. Skilled labor has not gotten any better. I think it's the new norm. And so the ability to manage that impact on every operation is something that we'll continue to lean in on. And all that's going to go and -- come into what margins do on a go-forward basis. But we work on every single order to make sure it fits within the parameters that we're looking for and putting customer service first. And obviously profitability and margin plays into that.
Brent Thielman: Okay. I got a few more, but I will pass it on. Thank you.
Daniel Jones: Thanks, Brent.
Operator: Your next question comes from the line of Ryan Connors with Northcoast Research. Your line is now open.
Ryan Connors: Good morning. Thanks for taking my question this morning. I just had one which was a bigger picture in nature but actually a segue from your previous response there to that question about just the tightness of copper markets. And so my question was around sort of recycled and – recycled scrap availability as a raw material component both for yourself -- you compete with in other related markets for raw material. I know you do have your own scrap purchase program in-house. But is that something you're investing in? Have you seen external -- other players investing in scrap processing capacity to try to build up that side of the raw material base? Curious any color you might have there. 
Bret Eckert: Yes. No it's a great question. As you navigate this one of the things that we really saw as you got deeper into the pandemic and coming out of it is the scrap supply and it makes sense, right? People were not buying automobiles you weren't seeing as many projects going that were causing a lot of scrap to be generated. The scrap supply got very tight. It goes hand in hand when there's only 3, 3.5 days above ground, right? There's a lot of scrap that is going overseas a lot. It's going to China because they're paying. At one point they were paying Comex for scrap which you typically get a discount for scrap. We have the ability in our furnace to process it but we only buy the highest quality. And so the availability of scrap is extremely tight. It goes hand-in-hand with tightness in the metal itself. And so we did talk about last year we were buying less scrap. The flip side of that is pure cathode. I can run faster. And so there's a bit of a give and take as you look at that. And so as the spread between Comex and scrap tightens, I'd rather buy cathode than scrap. And we'll continue to evaluate that but the scrap market is very, very tight. I think as you look at the outlook for copper get past 2025 there's a looming supply gap. That's not going to help the availability of scrap, right? It's going to get folks continuing to maybe go after scrap closer to Comex. And at that point in time it's just not economical to pursue.
Ryan Connors: Okay. I appreciate that. Thanks for your time.
Operator: Your next question comes from the line of Eli Voss [ph].
Unidentified Analyst: Thank you for taking the question. I have a question regarding the new facility you're building which should be completed in Q3. What implications do you see? Do you see more revenue or higher margins from that? And the second question is are you planning a new share buyback program since there is only a little spare capacity which might run out in the next two quarters. Can you evaluate on that one? Thanks very much.
Bret Eckert: Perfect question. Thank you for that. So I'll start with the second question. You can -- you look at last year. So yes the Board authorized us to repurchase up to two million through March of 2024 and we purchased as you know a little over 70,0000 leaving the balance for the remainder of the year. Similar to the authorization, we got from the Board a year ago they also at that time had authorized two million shares through March 2023. We bought back a little more than 1.1 million shares last year in the first two quarters. And then at that point in time the Board actually refreshed the authorization back to a full two million. And so it's something that when we talk to the Board and meet with them every single meeting we'll evaluate where we sit with regard to repurchases in the market and the remaining authorization and then the Board makes a decision as to how they want to act. With regard to the XLPE facility and that's part of what we talked about in deepening vertical integration right you've got to look to see where you think the demand potentially is going. And when you -- we've talked a lot about strength in data centers right in oil and gas. The infrastructure investments that are being made in transit and wastewater treatment, hardening into the grid with regard to utilities, and you've got wind and solar from a renewable, right? All that takes this cross-linked polymer or XLPE insulation. And so as a company or a manufacturing you have to always balance the buy versus make. And if we can put a facility in that, we can find ways to make it cheaper than we can buy it. And then it also gives me a much broader access to supply. So no longer limited by someone else's capacity, I can leverage my own to be able to lean into what the market offers. So it is part of our vertical integration strategy. We've got our own plastic mill that makes our own PVC insulation and PVC pellets and now we'll have our own XLPE facility. So it picks up the other side of the insulation. 
Unidentified Analyst: So maybe a follow-up question on that one. First, the CapEx, since you have quite flush with cash, which is great. Could you envision another use for CapEx in terms of not only investing in the one facility or doing share buybacks, but making a takeover or going into copper mines or whatever, or is it excluded as an idea? And the second one is did you evaluate how your company is going to profit from the Inflation Reduction Act?
Bret Eckert: Yes. So with regard to vertical -- or deepening our capital spending, we typically -- and you see it in both our press release and the comments we made today, we stay pretty general until we get closer to a facility opening, but we are focused over the next three to five years. And continuing into a deepened vertical integration, as well as to reduce cost and modernize select wire manufacturing facilities to increase capacity and efficiency. And so, all that continues. And as we get closer, we'll announce more specifics about other projects in the mix. You're in this $150 million, $170 million, $180 million-type million spending. And as we roll on another year, we'll update for any additional spending opportunities. What was your second question?
Unidentified Analyst: If you looked how much you can profit from the Inflation Reduction Act? Because I think you're in a prime spot for cables and stuff, which is going to be needed in the oil and gas or even in windmills and et cetera.
Bret Eckert: Absolutely. I mean, I think everything you see when you look out and say, okay, what's the market look like? It goes back to Brent's question. It really gets back to what you all think about the continued expansion of data centers and what AI might do to that and what you think about renewables in this country, look at EVs, right? 1% of the vehicles in the US are electric, right? But to get to that, you've first got to build battery plants. You've got to build the facilities to build the cars. You need more semiconductors. And so, you've got to build semiconductor plants, all that takes wire and cable. And then once you get the electric vehicle, the electric vehicle charging capacity in the US is not great, right? You're not stopping at a major gas station with the restroom and a chance to buy a drink, right? You're stopping at odd locations to charge the vehicle. So that has to get more mainstream. The majority of a charging station is copper. You power it with aluminum. And so, a lot of the things with regard to the infrastructure, the hardening of the grid and the electrification is all going to take wire and cable, with a looming supply gap in copper -- headed out there in the next three to four years. And so, those are the constructs that we look to when we look for capacity additions and where we want to build in the market.
Unidentified Analyst: Yes. Thank you. You should broaden your shareholder base in Europe. I guess, there's a lot of great topic to go on the road show here, because this topic is in everybody's mind here.
Bret Eckert: Fantastic. Thank you for that. Appreciate it.
Unidentified Analyst: Thank you.
Operator: Your next question comes from the line of Mike Schenck [ph]. Your line is now open.
Unidentified Analyst: Good morning.
Bret Eckert: Good morning, Mike.
Unidentified Analyst: My question is really on the process that you go through and your thinking, which I applaud, that caused you to be so aggressive, both on the amount of shares, as well as the price paid in Q1, which I believe averages actually a little bit under $181 a share. As we go forward, does that demonstrate a confidence in the future outlook and your cash flows? If you could comment at the process you go through and why you got so aggressive this quarter? Thank you.
Bret Eckert: Yes. No, listen, I think we've been pretty consistent. We bought back 785,000 shares, I think, in the third quarter last year. We continue to execute on the Board's authorization. We do see it as a return of capital to shareholders, probably gives you some level of confidence in what we think and the value as you go through this process. We only have really three levers. We've never done an acquisition in our history. And so, when you look at our use of cash balance, you've got CapEx. We've got a very robust capital expenditure plan over the next three to five years. You look at the dividend, which is only $0.02 a quarter and you look at stock buybacks. And there's a lot of benefit from the stock buyback side and shows the confidence that we think is out there. So I think with that, that authorization by the Board for up to 2 million more shares and the activity we did in the first quarter, you can interpret.
Unidentified Analyst: That makes sense. I appreciate it. And I have visited you. I've been there in McKinney. It was probably 15 years ago, but I understand the philosophy on no acquisitions. I think the organic growth story is been exceptionally well executed. And thanks for what you're doing keep doing it.
Bret Eckert: You should come back...
Unidentified Analyst: Okay. I might do that. Thank you.
Bret Eckert: Thank you.
Operator: Your next question comes from the line of Brent Thielman with D.A. Davidson. Your line is now open.
Brent Thielman: Hey, thanks. Hey, Daniel, I mean you and your customers had to deal with a lot of erratic sort of movement in copper prices this last quarter. Could you talk about the traction you saw with attempted price increases, especially just given how tight the supply situation is in the market?
Daniel Jones: Yes. Good point, Brent. You saw copper start off the year and start off the quarter around $3.70 something, run up to $4.25-ish or whatever and then backed off a little bit and then actually ended up the quarter at the tail end of March with some strength. And so when's that happening as you can imagine, the industry does not change the price sheet on the way down. But when there is a price increase, there's a new price sheet that is an increase over the last one. And we had really good traction within the quarter with a couple of different price increases going to a new price sheet. There's times when the industry will change the discount levels and print a sheet and what have you but it was very clear and very consistent message in the quarter to get those prices up a little bit in reference to some of the raw material volatility. And then again, the demand in different buckets of our product offering has been pretty fantastic, specifically toward that industrial and some of the more niche products in the commercial line. So to hit the requirements on some of the repeat business, the demands of the customer, we charge for it. When it doesn't go out to the market for – on a bid process and get chopped up, it's good business. It's good margins and everybody is happy. The price increase in the sheets that were in the quarter, you announce them with a day or two clean up and then go right to that sheet. And we had good success which is another vote of confidence for the bullishness that I have in the marketplace.
Brent Thielman: That's really helpful, Daniel. I appreciate that. I just wanted to come back – I mean you and others in your sort of sector have talked about industrial projects all the different things that are out there. I'm wondering if you can just talk about how meaningful that is now for Encore? I know you don't like to give percentage parameters. I get that but just something to help us understand from the outside, looking in how much of a bigger deal that is as it relates to your business. And if I could just follow up to maybe just helping folks understand what the biggest drivers of the aluminum business are right now because that still looks very healthy.
Daniel Jones: Yes, the industrial piece, the way the market works for us on the industrial side, there's limited capacity and there's limited availability of product. And majority of the volume that comes through is on a custom, build-to-order basis to begin with. And so the volume is pretty substantial from a copper pounds perspective, the footage, the multi-conductor combinations, the color combinations, a lot of those things are specific to the job itself. And so it's a pretty fast-paced but once you get in and start to work through some of the requirements of the end users and the installers, that's where our service model kicks in and we can go from not having the product on the floor to delivering the product for installation pretty quickly. That allows us to charge for that value and charge for that service level. When you're seeing the amount of quotes that are coming in, and the work that you have to put in, ahead of time before you actually arrive at quoting that price, it's shielded or it's insulated really from the usual price cutters that we deal with in the marketplace specifically, because the amount of time and work that was put in leading up to those custom specifications. So, it's good volume. It's good margins. And the other part is, a lot of it is backed by some of the opportunities that are there with the interest rate infrastructure and some of the reduction act there in the marketplace that the Feds are financing. So, huge opportunity hundreds of billions of dollars into the electrical market. We're just trying to make sure that, we participate in the areas of opportunity that we've identified. And then as far as the aluminum piece goes, aluminum is less volatile really from a processing perspective in the marketplace, on a bias or a trend basis, but we have aluminum start off the year and start off the quarter in the low $1.40s, per pound and ran up to I think it was about $1.70 some-odd $1.71 or something a pound. And then fell off a little bit, and then stabilized toward the end of March. So, as it relates to the metal price itself, that's quite a bit of volatility for aluminum, which attracts -- as you know, from our story in the past, it attracts some of the opportunistic threats that we've dealt with historically from imports. The good thing there is, when it creeps back up or stabilizes, it forces discipline in the marketplace. And at some point, the product has to be actually delivered. So we were able to perform very well and hang on to margins and deflect some of the most threats from just the overall outside noise that we run into -- in the market. But the volumes are still good. The demand is still good. I've been very clear in the past, as you know, and I'm still clear today. I prefer to sell and ship copper. But in this market the aluminum is very important for us to go forward, and we're actually pretty good at what we do in the aluminum side. 
Brent Thielman: Yes. Just on the XLPE plant start-up, any reason to think the ramp-up of that facility could be dilutive at all the margins in a meaningful way, just as you're trying to get that sort of a steady pace? 
Daniel Jones: Going forward, that plant is to as you know, bring some of our cost in-house the control of those costs in-house. It's a very important piece, of the industrial cable market and that's a very important piece of that commercial market cable that we make, being a higher temperature insulation ratings and a little more durable cable overall. So, we will benefit and we will treat it the same. And as our history has shown, when we're able to lower our costs and increase our service model in a particular segment, we could really do some things and having to control really of the input side of that raw material is going to be a big win for us. 
Brent Thielman: Okay. Last one, guys. I've got to ask, I mean, you haven't been shy about buybacks. Obviously, substantial activity here over the last couple of years. I mean, as you look at your stock, sub-1.5 times book value. And anything, you can tell us today about how you're thinking about repurchases here? 
Bret Eckert: Well, I guess – Brent, it's Bret, again. I mean I think as you look at this, I mean the Board came out after a pretty significant purchase level last year of almost 2.1 million, with a reauthorization of up to another two million shares. And so you can look back, since February of 2020 and we've been active in the market for repurchases. And so again, I think you've got to interpret that from your perspective. But we do -- as we said before, through the first quarter, we've seen that as a good use of cash.
Brent Thielman: Very good. Okay. Thanks for taking all the questions guys. A appreciate it.
Bret Eckert: Great questions.
Operator: Your next question comes from the line of Andrew Shirley with ES [ph] Capital. Your line is now open. 
Unidentified Analyst: Hi. Thanks for taking the questions. You touched on this earlier, but I didn't quite get the net response. I was just curious the -- was the copper price spike in early January a headwind at all to realize spreads during the quarter?
Bret Eckert: We're -- it's a great question Andrew. I mean listen, we've -- it's kind of a normal course in managing the purchases we do within a quarter, right? Copper moves up, copper moves down and it's the same thing with other raw materials. We are really good at capturing those costs and passing those on, right? But when we've talked about abatement, right, an abatement has been more on the top end and not on the bottom end, right? And so that's where you're seeing. So we tried to just maybe decipher or put it out there even clearer when you talk about abatement. You may see some erosion at the top end is as the broader sector starts to catch up a little bit. But that's really where it's hitting. Fluctuations in copper and the like we're looking at that price at every single order whether or not it's average or spot whatever is higher. And so, that's where our service model really is such a competitive advantage. We talk about shipping orders quick 24 hours, 48 hours a 100% complete. It's a fantastic customer service, but it's extremely defensive right? Because if I take an order and I know my margin and I ship it that day or the next day, it doesn't matter what copper does. I just locked in my margin. And that's why that service model is the best hedge out there. And when you turn inventory 12 to 14 times a year of finished goods you're capturing everything within that month. And so there's a great match of revenues and costs.
Daniel Jones: Yes. Good catch though, Andrew. It was about $0.50 I think, if I'm correct. From the beginning of January through the end, I think it was close to a $0.50 run.
Unidentified Analyst: But it sounds like you're suggesting, it didn't specifically present a headwind during the quarter.
Daniel Jones: Not specifically. I mean there's more things that go into it. The timing of it the timing of the price increases, the timing of posting the price sheet increase, where you stand with quotes, where you stand with production runs by the end of the month what have you. But we typically ship out and bring in the same amount of -- we try to match up the pounds to the month. So, spreading that $0.50 over 22 trading days and pulling prices from one day to the next, it definitely maybe speeds a few things up. Folks that are going to wait to see if copper is going to go up or down, you get a bias or a trend on the upside, it will shake some things lose during the week or during the month for sure.
Unidentified Analyst: Okay. Great. And then just one more not asking about this current quarter specifically, but historically what is the typical sequential volume pickup from 1Q to 2Q due to seasonal factors?
Bret Eckert: Yes, that's a tough one. We don't give any future guidance and it's tough. You go back to 2019 and then you rolled into '20, you had the pandemic and with everything that was out there. As you know we stayed fully operational and things really started to pick up from that standpoint. You had periods in there where there was a pent-up demand. And so you saw a big catch-up on that. You looked at residential when it got meteoric a year ago it was really driven by folks moving out of more populated areas and into more rural areas. Whenever that happens and you see a residential boom light commercial always follows 12, 18, 24 months later, because you have to build the infrastructure around this much larger influx of population in a more rural area, you still need gas stations and Starbucks and supermarkets and care now and churches and schools. And so, that is going to -- you should see that tail as you go into this next year. And you see some of that already that we saw in the fourth quarter and the first quarter. And so it's hard to peg it. I will tell you typically the first quarter and fourth quarter are kind of the shoulder quarters. And the second and third quarter are typically a little bit stronger as far as -- and that kind of aligns well with the build timing. 
Unidentified Analyst : Okay. Great. Thank you very much.
Bret Eckert: Thank you, Andrew.
Operator: Your next question comes from the line of Alfred [indiscernible]. Your line is now open.
Unidentified Analyst : Thank you. Good morning. I'm curious about the wholesale electrical distributor customers that you have. Are they very forthcoming with information about their inventory levels of wire products?
Daniel Jones: Yes, I think so. We're pretty close with those distributor customers. There's long-term relationships with those people. We have field reps. They get to know on a relational level families and whatever it might be. And we also are very active visiting with and bringing in and visiting our place back and forth with those distributor customers. And so we can put eyes on their inventory and we have folks in the field constantly doing that providing the feedback. 
Unidentified Analyst : With that type of information available do you think the distribution customers have more embraced your concept of how to have almost just-in-time delivery, or are some of them still tending to go back to the, let's say, the historical practices that they may have had in the past where they stock larger quantities just so they can have the inventory on their side?
Daniel Jones: Yes. That's a great question, Alfred. The current state is nearer to the front end of your question more just-in-time levels. As the speed of the volatility of the raw materials moves from a value perspective, you do see those inventory holdings fluctuate. If you can get some type of specific bias or trend you might see it build a little bit ahead of time, but it's usually related to a specific job or anticipated job that they have in their market area. But if I had to choose today versus historical levels, I would tell you today distributors run extremely -- on the extreme end of the lean side. 
Unidentified Analyst : If I could ask just one final follow-up question. For your distributor customers that might be closer to Canada or to Mexico, do you think you get any business that they would have from selling to their customers in either of those countries?
Daniel Jones: Over the years there may be some residual business if you will. But as far as direct product crossing the border the electrical specifications in those two countries don't match up with our country specifically on our building wire product. So I would say no. 
Unidentified Analyst : Okay. Thank you very much.
Daniel Jones: Yes. Thanks for the question.
Operator: Your next question comes from the line of Taylor Merritt with Forge First Asset Management. Your line is now open.
Taylor Merritt: Good morning, Bret and Daniel. Wanted to ask on the XLPE facility. You've already spoken to it a few times. Is that solely a cost initiative, or will the XLPE insulation let you access markets or sales channels that you're not currently able to or in a capacity you'd like to? 
Bret Eckert: It's a great question, Taylor. I mean, if you were listening a couple of years back I talked about during the pandemic, right, when raw materials across the board got tight. And as you know we never ran out but we spent -- we went from or at least I went from spending an hour a day to 12 hours a day chasing them. And as you go through that I said that there were certain aspects of our supply chain that maybe raise their heads from a risk or availability or cost standpoint that I didn't like as much as some of our others. And that was really one of the relationships. In the heat pandemic, when there was a lot of build going on, the XLPE cross polymer capacity domestically was very strained. There was a lot of companies on quotas. You can only get so much, and it was a limiting factor at that time as to how much product we can put out. When we looked at that it was just a natural extension. We've vertically integrated since our inception. You looked at where when you get to a certain point from a volume standpoint you could say listen we benefit if we made our own versus relying on someone else to buy it. I also then control the labor aspect, the access to the other raw materials. And that really came to bear when we saw the opportunity in XLPE particularly with the ability to derisk some of that supply. But our ability to build a facility right you don't build it for what we need today you build it as to where you think the market will be. And so we always build an incremental capacity that can serve all the markets we talked about and the type of insulation that demand that as that group expands. 
Taylor Merritt: Got it. So, fair to say then as that facility comes online later this year and we're still presumably at the front end of the -- some of these larger infrastructure government-backed CapEx programs residential will become structurally smaller part of the business? 
Bret Eckert: I don't think say just on that I would tell you that our ability to serve the availability of that type of installation will not be a limiting factor for us once that facility is online.
Taylor Merritt: Right. Okay. But residential as a percentage of sales is like you say probably hit the high water margin through the second quarter of 2021 and--
Bret Eckert: What I was saying Taylor in the second quarter 2021 is that we felt that the price -- the copper margin peaked in June of 2021, right? Residential, if you look at the residential percentage today, it was about 27.9% of our business for the first quarter. If you compare that to the fourth quarter right and see a trend there, it was 29.3%. So, it was 1.4% different, right? Not a big move. So, residential is still running a little higher than it was pre-pandemic levels, but that's not related to my comment from June 2021. And it's not directly related or comparable to XLPE coming online to the extent that the uses of that insulation grow, we start to ship more product associated with it that could impact the percent of residential, but again that doesn't mean it impacts the pounds per se.
Taylor Merritt: Yes, no. Got it. Yes, full understood. Thank you very much. That’s it for me.
Bret Eckert: Thank you.
Operator: There are no further questions at this time. And this concludes today's conference call. Thank you for attending. You may now disconnect.
Bret Eckert: Thanks Emma. Thanks everybody.
Operator: Have a great day.